Gerald Cysewski: Aloha from Kona, Hawaii. Thank you all for joining us today. We are pleased to report Cyanotech's Fourth Quarter and Fiscal Year 2020 Earnings Results. I am Gerry Cysewski, Chief Executive Officer for Cyanotech and Nutrex. Joining me in today's discussion is Brian Orlopp, our Chief Financial Officer. I hope that you had a chance to review the press release that was issued yesterday morning. You may also visit the company's website at cyanotech.com for a copy of the release. This conference call is being webcast on our website and will be available after the call.
 I would like to remind you that much of the information we will be speaking about, including answers we give in response to your questions, may include forward-looking statements within the provisions of the Federal Securities Safe Harbor laws. We ask you to review the statements included in the press release we issued yesterday in the company's most recent filings with the Securities and Exchange Commission.
 So first and foremost, I want to acknowledge each of you for joining Cyanotech's Fourth Quarter Call and Full Year Fiscal 2020 Earnings Call. It has been very difficult these last few months for the world, and I want to extend my best wishes to you and your families that you stay safe and healthy.
 Before we begin the financial results, I would like to take a few minutes on the impact of the COVID-19 pandemic and the actions we have taken to support our team members, their families, our customers, suppliers and local communities. At the outbreak of the pandemic, we immediately activated our executive crisis management team to respond accordingly. At our production facilities, where food safety has always been a top priority, we introduced additional operating procedures and safety protocols to include social distancing and increased cleaning cycles to protect our production teams. We activated our supply chain contingency plans to mitigate any disruptions in our ability to service our customers.
 Our preventative actions included having as many employees as possible working remotely. Our team members have rallied around maintaining business continuity during this critical time, especially our frontline teams that have kept our farms, processing plant and distribution centers running, allowing us to maintain our commitment to Cyanotech and Nutrex-branded products around the world.
 We're also collaborating in a number of ways with our local communities, adding support where we can. Also, our company has been declared an essential business in Hawaii, and we have remained open at full operations. However, the extent of the pandemic on our financial performance will depend on the future developments, including the duration and spread of the pandemic and the related government restrictions, all of which are uncertain at this time. So while we did experience a number of challenges in the quarter and fiscal year, we took several actions to fortify our business and increase liquidity, including stabilizing production, postponing noncritical capital investments and establishing cost controls to reduce spending in selling and general administration going forward. Our performance in 2020 highlights these actions and decisions we made in the beginning of this fiscal year to steer us back to positive cash flows and profitability.
 Now I would like to turn the call over to Brian to talk about the fourth quarter and full year financial results. Brian, please? 
Brian Orlopp: Thank you, Gerry, and good morning, everyone. I want to begin with a few words regarding the confidence we have in our cash and other balance sheet positions. Our ending cash balance was $2.4 million, an increase of $1.6 million from last year-end. Our accounts payable was reduced by $2.8 million over the same time frame. In addition, all 3 of our loan and debt covenants with the bank were in compliance. As of March 31, 2020, the company has outstanding borrowings of $2 million on the line of credit. This line of credit is subject to renewal on August 30, 2020.
 In the fourth quarter this fiscal year, we achieved $8.6 million in net sales as compared to $6.1 million last year, a positive swing of $2.5 million or 41%. Total sales reached $31.9 million for the fiscal year 2020 as compared to $30.2 million last year, a growth of $1.7 million or 5.6%. Our full year operating expenses decreased by $1.8 million or 13.5% as compared to fiscal year 2019, primarily due to the strategic cost-cutting initiatives, as Gerry mentioned earlier. These included decreases across the spectrum of general and administrative, sales and marketing and research and development areas. 
 Operating income was $228,000 compared to an operating loss of $1.3 million in the fourth quarter fiscal year 2019. For the full year, operating income was $1.053 million compared to an operating loss of $2.997 million, an improvement of $4 million. Adjusted earnings per diluted share for the fourth quarter was $0.01 compared with an adjusted loss per diluted share of $0.25 in 2019. Adjusted earnings per diluted share for the full year was $0.06 compared with an adjusted loss per diluted share of $0.62 in 2019.
 Now back to Gerry. 
Gerald Cysewski: We did receive some questions from investors, which I would like to respond to now. 
 One shareholder wanted to know more details about our Astaxanthin production strategy. 
 We have made significant improvements in our Astaxanthin production, which I cannot discuss in detail. These improvements allow us to produce all of our required Astaxanthin supply within the best-growing seasons and then to drastically curtail production. This reduces overall Astaxanthin production costs and conserves cash. Astaxanthin remains an extremely important product for the company. And with these cultivation improvements, we now have the ability to increase production as demand increases.
 There's a question from an investor as to what drove the sizable increase in Spirulina bulk sales?
 The increase in bulk sales was primarily due to the availability of Spirulina product. Last year's Spirulina sales were deeply affected by the reinoculation of our ponds over an extended period, which decreased product availability, essentially didn't have Spirulina. In fiscal year 2020, we returned to stabilization of our ponds and to historical outlets and yields. Our customers renewed their purchases.
 There are also 2 questions concerning increase in bulk sales, but also a decline in package sales.
 As I mentioned, Spirulina sales increased due to a lack of availability in the prior year. The decrease in Astaxanthin sales was a result of a nonreoccurring large inventory purchase late in FY 2019 by a major customer, subsequently followed by an inventory tightening across all of our buyer channels. Higher-margin packaged sales remain a priority to the company, and we're launching some new initiatives in this area. The new Farm Grown seal program is one of these initiatives that was just announced.
 Finally, an investor asked for further explanation on our contract extraction services. 
 As a result of capacity improvements we made to our best-in-class supercritical CO2 extraction system in late FY 2019, we began offering contract extraction services to third-party processors of Astaxanthin biomass. This revenue has more than doubled in FY 2020.
 I would now like to take this opportunity for some concluding remarks. I also want to thank the investor and shareholders for these questions.
 So my concluding remarks. We are pleased with our most recent quarter and full year financial performances that reflect positively on our efforts during the past year. The realignment of our business strategy to increase focus on production stabilization, efficient promotional spending and controlling costs have delivered margin improvements in the year. Our balance sheet stands stronger today as well. We generated positive cash this year, so this speaks to the strength of our business strategic plan. We will focus on continuing to reduce our debt while we invest in critical high-margin capital projects to drive efficiency in our operations and expand our value-added product lines.
 I want to thank you very much for joining the call today. Be safe. Be healthy. Aloha.